Operator: Today. Please press star zero. Mhmm. Welcome to the Entegris Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode. And the floor will be open for your questions following the presentation. We ask that you pick up your handset for best sound quality. Lastly, if you should require operator assistance, I would now like to turn the call over to Bill Seymour, Vice President of Investor Relations.
Bill Seymour: Good morning, everyone. Earlier today, we announced the financial results for our fourth quarter of 2024. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, and actual results could differ materially from those projected in the forward-looking statements. Additional information regarding these risks and uncertainties is contained in our most recent annual report and subsequent quarterly reports that we have filed with the SEC. Please refer to the information on the disclaimer slide in the presentation. On this call, we will also refer to non-GAAP financial measures as defined by the SEC in Regulation G. You can find reconciliation tables in today's news release, as well as on the IR page of our website at entegris.com. As we referenced in last quarter's call, we have combined our MC and AMH division. The name of the new division is Advanced Purity Solutions or APS. To assist you in your modeling, we have provided in the appendix of the earnings slides recast financials for this new division going back eight quarters. On the call today are Bertrand Loy, our CEO, and Linda LaGorga, our CFO. With that, I'll hand the call over to Bertrand.
Bertrand Loy: Thank you, Bill, and good morning. I am pleased that we were able to cap off 2024 with strong performance. In the fourth quarter, our revenue excluding divestitures grew 11% year on year and was above our guidance range. This performance was driven by the highest quarterly sales for Materials Solutions in over two years and all-time high quarterly sales for Advanced Purity Solutions. Profitability was also solid in the quarter. Gross margin and EBITDA margin were within guidance, and non-GAAP EPS was above our guidance. Looking at the full year, our semiconductor customers with significant exposure to advanced logic and AI performed very well. But the rest of the industry remained weak throughout 2024. In addition, there were no significant technology node transitions in logic or memory, which limited our opportunity to further increase our content per wafer. With this industry backdrop, I am very pleased with our overall results. During the year, excluding divestitures and the impact of currency, our revenue grew more than 5%, yielding an estimated market outperformance of 4%. Sales of our Material Solutions divisions were up 11% for the year, excluding divestitures. For MS, growth was particularly strong in CMP consumables, advanced deposition materials, and selective etching chemistries. For additional context, I would like to highlight that last year, CMP slurry revenue grew 14% and CMP pads grew 24%. We are also encouraged by new critical POR positions including more than doubling our slurry content from N3 to N2. This performance is a testament to the great work the team has done since our combination with CMC. There's still more to be done to harvest the full benefits of the CMC deal, but the team is making excellent progress. Advanced Purity Solutions division sales were flat in 2024, driven by difficult comparisons from the significant backlog we were working through during 2023. And mirroring the performance of the overall semi market, strong growth in advanced logic and advanced packaging for EPS was offset by weakness in mainstream and memory. However, EPS ended the year strong as expected with sequential growth in most product areas. Moving back to our consolidated results, from a profitability point of view, both our gross margin and EBITDA margin were up in 2024, excluding divestitures. Our EBITDA margin expanded more than 100 basis points year on year to reach 28.7%, slightly above our target commitment. We're able to improve our bottom line leverage while increasing our R&D investments by 14% in 2024. These investments are critical to winning new POR positions, such as Moly Deposition, Moly Edge in next-generation 3D NAND, and point-of-use photoresist filters in advanced logic. These new POR wins drive the increase of Entegris content per wafer and ultimately fuel our top-line market outperformance. There are a few additional items I would like to highlight. Last year, we paid down almost $625 million of debt, a portion of that coming from the proceeds of the divestiture of the pipeline and industrial materials business in early March 2024. Debt reduction will continue to be a focus area for us in 2025, and Linda will expand on that shortly. Our new facility in Kaohsiung, Taiwan continues to make progress. We have completed qualifications for products, including drums, tubing, deposition materials, and some liquid filters. We expect to complete most of the remaining critical product qualifications by the end of this year. We are also progressing rapidly at our new Colorado site. Related to that, in December, we finalized an agreement with the US Department of Commerce that provides us up to $77 million in funding under the Chips and Science Act. Tools have started to move into the facility, and we expect to initiate customer qualifications in the second half of this year. Moving on to 2025, as we enter the year, we have yet to see evidence of a significant semi-market rebound. And our customers' visibility outside of advanced logic and AI-driven applications continues to be limited. In that context, for the full year 2025, we expect the market, based on our unit and CapEx mix, will be up between 1% and 3%. We believe that this is a prudent view of the industry at this point in the year until we see concrete evidence of a sustained market recovery across major end markets. On top of this industry growth, we expect to outperform by four to five points in 2025. This outperformance will be largely driven by additional content opportunities in new logic and memory nodes. This outperformance also includes the negative impact of the latest restrictions on sales to China, which we estimate to be an annual incremental loss of revenue of $30 million to $40 million in 2025. Putting it all together, we expect our sales in 2025 will be approximately $3.4 billion at the midpoint of our guidance range, up approximately 6.5% on a pro forma basis. We expect EBITDA will be slightly above our target model or just over 29% of revenue and we expect non-GAAP EPS to be at or above $3.25. Let me now turn the call over to Linda. Linda?
Linda LaGorga: Good morning, and thank you, Bertrand. Our sales in the fourth quarter of $850 million were up approximately 11% year over year, excluding the impact of divestitures. On an as-reported basis, our sales were up approximately 5% year over year and sequentially. Foreign exchange negatively impacted revenue by $4 million year over year and negatively impacted revenue by $2 million sequentially in Q4. On a full-year basis, FX negatively impacted revenue by $23 million, reducing our 2024 sales growth by almost one point. Gross margin on a GAAP and non-GAAP basis was 45.6% in the fourth quarter, within our guidance range. Operating expenses on a GAAP basis were $237 million in Q4. Operating expenses on a non-GAAP basis in Q4 were $188 million, in line with our guidance. Adjusted EBITDA in Q4 was 29.2% of revenue, also in line with our guidance. The GAAP tax rate in Q4 was approximately 9% and the non-GAAP tax rate was 12%. The lower-than-expected tax rate was driven by favorable income mix. GAAP diluted EPS was $0.67 per share in the fourth quarter. Non-GAAP EPS was $0.84 per share, above our guidance range. Sales for our Material Solution division in Q4 were $361 million, up 14% year on year, excluding the impact of divestitures. Sales were up 4% sequentially. The largest contributors to the sales increase both year on year and sequentially were CMP consumables, advanced deposition materials, and etching chemistries. Adjusted operating margin for MS was 21.7% for the quarter. The 100 basis point sequential margin increase was driven by operating expense leverage. Sales for the new Advanced Purity Solutions division in Q4 were $491 million, up 9% year on year and up 6% sequentially. From a product perspective, the year-on-year sales increase was driven by fluid handling, wafer handling, and gas purification. The sequential sales increase was driven by growth in liquid and gas filters and dispense pumps used in advanced packaging applications. Adjusted operating margin for APS was 27.9% for the quarter. The modest sequential increase in margin was primarily driven by volume leverage. Moving on to cash flow. CapEx for the year was $316 million, in line with our expectations and was approximately 10% of sales. We expect to spend approximately $325 million in total CapEx in 2025, in line with our ongoing target of approximately 10% of sales. Full-year free cash flow was also $316 million and free cash flow margin was almost 10% in 2024. This is a significant improvement relative to the last few years, which were negatively impacted by the industry downturn and higher CapEx spending from our KSP and Colorado months. We are committed to improving our free cash flow margin. We have actually made free cash flow a compensable goal for the management team and the rest of the organization starting this year. We expect our free cash flow margin to return to the mid to high teens percent in the next few years, similar to our pre-pandemic levels. This will be driven by EBITDA leverage, in line with our target model and working capital optimization. Looking at our capital structure, during the fourth quarter, we paid down $150 million of the term loan from cash on hand, which means to date, we have paid down $2 billion of our total debt since the close of the CMC acquisition in July 2022. At the end of the year, our gross debt was $5.7 billion and our net debt was approximately $3.7 billion. Gross leverage was 4.3 times and net leverage was 4 times. The blended interest rate on our debt portfolio is approximately 4.9%. And since the term loan is fully hedged, currently, 100% of our debt is fixed. So we will continue to use our free cash flow to pay down debt and we remain committed to reducing our leverage. Based on the timing of our cash flows, including CapEx, our debt repayment will be weighted to the second half of 2025. We expect to meet our gross leverage commitment of below four times before the end of the year. Moving on to our Q1 outlook. We expect sales to range from $775 million to $805 million. This equates to year-on-year revenue growth of approximately 7% to the midpoint excluding divestitures. Gross margin of 45.5% to 46.5%, both on a GAAP and non-GAAP basis. GAAP operating expenses of $236 million to $240 million and non-GAAP operating expenses of $188 million to $192 million, up slightly at the midpoint compared to Q4 2024. We expect the EBITDA margin to range from 28% to 29%. Net interest expense of approximately $50 million. Non-GAAP tax rate of approximately 15%, GAAP EPS to be $0.38 to $0.45 per share. And non-GAAP EPS to be $0.64 to $0.71 per share. We also expect depreciation to be approximately $53 million in Q1. And in addition to the annual outlook Bertrand shared, I'd like to provide a few additional modeling items for the full year 2025. We expect net interest expense will be approximately $200 million for the full year, down modestly compared to 2024. And we also expect the non-GAAP tax rate to be approximately 15% for 2025. I'll now hand it back over to Bertrand for some closing remarks.
Bertrand Loy: Thank you, Linda. In closing, in this dynamic industry environment, I am very proud of our team's resilience, steady execution, and the strong quarter we ended the year on. As we enter 2025, I believe we have taken an appropriately prudent view of the industry given the continued lack of visibility outside of advanced logic and AI applications. We remain focused on delivering strong market outperformance and profitability, improving free cash flow, and paying down our debt. While funding critical investments that improve our long-term competitiveness and position us for the upturn. Looking further out, we continue to have high confidence in the strong long-term growth outlook of the semiconductor industry. In addition, the industry's technology roadmaps continue to be opportunity-rich for Entegris. Our customers drive for more complex device architectures and further miniaturization. The resulting process complexity is making our expertise in material science, and material security increasingly valuable, and the R&D investments for the upcoming technology node transition. All of which are expected to generate incremental content per wafer opportunities and fuel our market outperformance in the years to come. Before we open the line for questions, I would like to announce that Bill Seymour, our VP of IR and Communications, recently announced his decision to leave Entegris to pursue a new opportunity at the end of Q1. I would like to take a moment to recognize Bill for the quality of his work and his invaluable advice over the past six years. Linda and I will miss him greatly. With that, operator, let's open the line for questions.
Operator: The floor is now open for questions. At this time, if you have a question or comment, to provide optimal sound quality. Thank you.
Toshiya Hari: Hi. Good morning. Thank you so much for taking the question, and thank you, Bill, for all the help over the past several years. My first question is on the market outlook and your outperformance, Bertrand. So the market growing 1% to 3%, I was hoping you could delineate between the WaferStar side of the house and the CapEx side of the house, what you're thinking, and if you can sort of provide a little bit of color by application. That would be really helpful. And then the outperformance of four to five percentage points in the past, I think you've talked extensively about M2 and molybdenum. I'm curious what the key drivers are for you guys in 2025. Thanks.
Bertrand Loy: Sure. So when it comes to the market assumptions for 2025, as we said in our comments, visibility continues to be fairly limited outside of advanced logic and AI-related applications. So as we start the year and without any concrete evidence of a rebound across the industry, we think it's prudent to assume Wafer starts being up in the low single digit and the industry CapEx to be essentially flat. Right? So if I want to double click on those two components, wafer start, low single digit. We expect, obviously, very strong wafer starts in advanced logic and everything that is AI-related. But as of right now, as I mentioned, I think there's very limited visibility in mainstream and traditional memory. So that's what's behind the wafer start assumption. When it comes to CapEx, probably no surprise to you. We expect elevated WFE in advanced foundry and advanced packaging, we expect increased spend in NAND ahead of some expected technology transitions, but that's going to be offset by slow WFE pretty much everywhere else. And then slower new fab construction projects in 2025. So when it comes to the outperformance, as you know well, Toshiya, the performance, the outperformance of Entegris is really driven by how many nodes are taking place in any given year, of course, the more, the better. And the other big driver is the timing of those node transitions. So in other words, when those nodes are already put in high volume manufacturing and for us, the sooner, the better. Right? So when you look at 2025, the good news is that we expect a lot of important node transitions. Logic, we're going to be obviously watching carefully N2, 18A, and then in 3D NAND, we expect to see the adoption of Moly as a replacement to Tungsten in 300 plus layer devices. Now so that's you know, those are the important node transitions that we will be watching. And then if you think about that from a timing point of view, all of those transitions are really expected in the second half of the year. So it's good. But not as good as if they were happening in the first half of the year, obviously. In other words, we're not getting the full benefit of those transitions in 2025. The other final point may be on the outperformance is, as I mentioned in my comments, remember that one point of top-line growth is expected to be taken away by the recent China restrictions. So that's the context for the overall top-line outperformance in 2025 of four to five points. And no, just to be clear, our long-term outperformment goal remains three to six as we have mentioned many times before.
Toshiya Hari: Great. That's really clear and really helpful. Thank you. As my follow-up, maybe one for Linda, interesting comments around working capital optimization and sort of your aspiration or goal to improve free cash flow margins to sort of the mid to high teens. I was hoping you could sort of expand on what the key initiatives are internally. You gave guidance for CapEx for calendar 2025, but how we should be thinking about CapEx perhaps in 2026 and beyond and again, is it primarily inventory when you speak to working capital improvements, or is there something else going on? Thank you.
Linda LaGorga: Absolutely. Thanks for that question, Toshiya. I'm very excited and free cash flow is going to be a very high priority as I discussed during the call. And as I mentioned, it will be a compensable goal for the team. We've really made a lot of progress in 2024 with the 10% outcome for free cash flow margin. And think about it, it's a very significant improvement over 2023 being about 5% and 2022 being negative. So to address your points, CapEx, we still over time think of it as about 10%. So that would be somewhat stable. Therefore, the drivers are going to be that EBITDA leverage as we get that growth and the market recovers, and then working cap. So clearly, inventory can have the biggest impact. The team did a good job again this year with some improvement in our days on hand, and we're going to continue to drive that. We also made some improvement on the other metrics like payables. So overall, we're going to just keep optimizing our working cap overall and continue to drive more cash flow from the working cap. And as we said, we expect this to return to the mid to high teens, which is our pre-pandemic levels over the next several years.
Toshiya Hari: Thank you.
Operator: Thank you. We'll take our next question from Melissa Weathers with Deutsche Bank. Your line is open.
Melissa Weathers: Hi there. Thank you for letting me ask a question. Bill, best of luck on your new endeavors. I guess for my first question, can we dig a little bit deeper into the March quarter guidance? You now only have two segments, but are there any moving pieces that we should be contemplating? It seems like it's a little bit below what you've seen historically in that quarter. So any moving pieces within the segments for March would be helpful.
Bertrand Loy: So I can certainly start and describe a little bit about the drivers behind the top line. I think we view our guidance at the midpoint to be pretty much in line with normal seasonal market decline. I mean, we expect sequential decline in wafer starts frankly across all customer segments in Q1. We also expect a fairly slow start to CapEx in the first quarter of the year. So and we expect that to frankly impact most of our product lines in our two divisions. So I think we think that our guidance is pretty much in line with normal seasonality. And if you look at it against Q1 of last year, it's actually up 7%. So it's in line with the overall growth target that we have for the year.
Melissa Weathers: Right. Thanks for that. And then I wanted to call out one thing that you mentioned in your slides and in your prepared remarks. Some momentum in the advanced packaging side of things. You haven't spent too much time focusing on this part of the business, and I know it's a strong grower for the industry right now. So could you give us a little bit of color on how you're supporting that industry? What trends you're seeing, and maybe how much it could grow this year?
Bertrand Loy: Well, thanks for asking that follow-on question, Melissa. I was hoping somebody would. And certainly, as we've been mentioning over the last two years, advanced packaging has been historically a very, very small part of our portfolio. But as we have said, we've been working very closely now for two years with customers to better understand their technology roadmaps and to develop solutions for the emerging process challenges that they are facing. I mean, they're all trying to drive additional automation, greater process precision in the dense packaging, and we have solutions to help them do that. So today in 2024, advanced packaging-related revenues are approaching about $100 million. So it's not so small anymore. And by the way, we expect that part of our business to grow significantly in 2025 as more investments continue to pour into advanced packaging capacity. So today, from a product standpoint, most of the opportunities are within advanced purity solutions. So think about carriers for thin and thick wafers. And the other side of the opportunity would be around fluid management solutions, in particular, high viscosity dispense pumps. But we still have opportunities in material solutions as well. And we have actually very successfully introduced some dielectric slurries in these processes. It's still small, as I said, mid-single digits of millions of dollars of revenue in 2025. But we expect that to grow rapidly. Actually, for that particular platform, we expect that to grow by a factor of three times in 2025. So as we've said many times before, I mean, it's been historically a small part of our business. We've been focusing on it. We are uncovering a lot of new opportunities and it looks very, very promising going forward.
Melissa Weathers: Thank you.
Operator: Thank you. We'll take our next question from Bhavesh Lodaya with BMO Capital Markets. Your line is open.
Bhavesh Lodaya: Hi. Good morning, Vikram. And let me also extend thanks to Bill and best wishes moving forward. Bertrand, you mentioned some very strong numbers for CMP pads and slurries for 2024. Could you add some more detail around what sort of factors drove that? Was it China? Is it new fabs? Some other drivers. And then do you see this as a leading indicator for some of your other platforms for this year?
Bertrand Loy: Yes. So I think, again, I mean, overall, very, very pleased with the way our material solutions platform has been performing and, in particular, very pleased with the CMP suite of products. I think it's actually a great success story in a story that really validates all of the expectations that we had when we chose to combine with CMC materials. Right? If you think about the types of revenue synergies we were expecting to generate, it came down to cross-selling opportunities, engaging with the customer differently, and creating a pipeline of innovation-driven opportunities. And then more broadly trying to really drive a solution selling strategy across the materials platform. And in 2024, we started to see evidence of success. So as I mentioned, slurry and pads grew very significantly, but post-CMP cleans did as well, and so did CMP filters. Actually, all of those CMP products, that suite of CMP products, grew in the high teens or higher in 2024. So again, that cross-selling strategy is absolutely working. And we expect to see more momentum going in 2025. As I said, we're also engaging differently and better with our strategic customers. With a great focus on innovation. We mentioned the progress in silicon content in advanced foundry. And I was just mentioning in the previous question, what we have accomplished in terms of uncovering new opportunities in advanced packaging. And then finally, when it comes to solution selling, we believe that the proof point will be with the success that we expect to see in moly deposition, moly edge in 3D NAND applications. And at some point in time, as moly gets adopted in logic, we expect to see also the introduction of moly polishing solutions, and that's going to create new opportunities for Entegris. So feel very good about the progress that we're making. I think it's validating the value of this combination, and I'm very pleased with the way the team has been coming together and executing in 2025.
Bhavesh Lodaya: Got it. And as a follow-up, currency has moved meaningfully in the wrong direction. Do you hedge some of that? And if possible, could you quantify the year-over-year impact for 2025 earnings based on where things stand? Thank you.
Linda LaGorga: Suresh, can you repeat that question? Sorry, it was blurred.
Bhavesh Lodaya: Yeah. Just the impact of how FX has changed. I mean, over the past few months, it's gone in the wrong direction for some of the Asian countries. So yeah. If you're able to quantify that for this year.
Linda LaGorga: So the good news is we the way we have our facility set up and our manufacturing, a lot of the costs are hedged by location. So, really, when we quantify the FX as we do, we mentioned the FX impact on a revenue line. But as you go down to gross margin, there can be a slight delay, but overall, a minimal impact on the gross margin line. So that's why you don't hear us talk about it. Gross margin is much from a cost perspective.
Bhavesh Lodaya: Thank you.
Operator: Thank you. And we'll take our next question from Timothy Arcuri with UBS. Your line is open.
Timothy Arcuri: Hi, Bertrand. So I want to go back to what the TAM is growing this year. So I heard your assumption on CapEx. I think you said flat. I mean, all the equipment companies are guiding up at least 5% WFE. So I know that you use CapEx and not WFE, but it seems like, certainly, WFE is going to grow this year like, maybe even higher than mid-single digits. So I guess, where does the assumption that CapEx is only flat come from? Is there going to be a big mix shift sort of underlying your assumptions, a big mix shift from CapEx for the equipment this year? Is that what's actually happening?
Bertrand Loy: Yeah. So, Tim, the assumption we are using right now is the WFE would be up in the low single digits. And then construction will be essentially down in the low single digits. So that's the net effect of that is that flat assumption for CapEx. As we said, there are different views of how the market could evolve this year. When we talk to all of our customers, and that includes all of the large equipment makers, I think there is really not perfect visibility in the second half of the year. And we're choosing maybe to be a little bit more prudent than some. But I think based on what we went through in 2024, we think it's a prudent way to approach 2025. So I think, I mean, for you, I think the key take I mean, remember that we're breaking down our annual guidance in two components. One is the industry component, and we understand that different people have different opinions around that. And then the other component is the outperformance. The one piece we really control is the outperformance. And that's really our commitment to outpace the industry by four to five points. I'm sure that our views of the industry will evolve as we gain more visibility and as we progress through the year and hopefully, there would be a basis to be a little bit more constructive, a little bit more optimistic over the industry assumptions as we proceed in the year. But honestly, there's not enough visibility as of right now.
Timothy Arcuri: Yeah. I guess just the degree that you outperform depends on what your assumption the underlying market That's why I was asking. But so I had a question, Linda, on gross margin for December. So you came in above the high end on revenue, but gross margin was at the low end. I know that the gross margin is being guided up a little bit for March, but was there something specific that happened in December that caused that? Because you'd think the gross margin, you know, could have been better. Thanks.
Linda LaGorga: Yeah. Overall, first, it's a good opportunity to just talk about gross margin overall, and I will answer around the December. Just broadly speaking with our gross margin, you know, think of that as part of our cost structure, part of our annualized cost of our flow through. So when you think about December, it was primarily product mix. So but over time, I want to take a step back and talk about the overall 2024 gross margin. We had a 2024 gross margin of 46% for the year, up 70 basis points year over year ex divestitures. And we achieved that gross margin expansion while running our plants at the appropriate levels. So it was a really great performance by the team. And to give you some color as we look into 2025, we expect gross margin to be up about 25 to 50 basis points, and there's puts and takes in that. We've talked about the puts and takes as it relates to 2024, and they're similar in 2025. You have volume leverage. We're going to continue to focus on productivity. And we will have some of the inefficiencies related to Taiwan and Colorado. But again, think about the gross margins and the puts and takes as we look into 2025, you know, similar to 2024 that this is all in the context of our annual state target model, and we're going to make sure our cost structure works with our analyst day target model, which is in line with you look at 2025, our full-year guidance for 2025. And the 40% EBITDA flow through.
Timothy Arcuri: Okay, Linda. Thank you.
Operator: Thank you. We'll take our next question from Christopher Parkinson with Wolfe Research. Your line is open. And Mr. Parkinson, your line is open. Please unmute yourself on your end.
Harris Fein: Sorry about that. This is Harris Fein on for Chris. I know you said $30 to $40 million of impact from the new China restrictions. Maybe if you could just give a little bit more color on where exactly that's affecting you, that'd be helpful.
Bertrand Loy: Yeah. So, I mean, I think, you know, it's going to impact both divisions. I'm not going to specifically assign the decline to a more high degree of specificity. But I think, you know, the restrictions are essentially adding thirty of our domestic customers to the NTT list, and the result of that is that it's going to limit our exports of US-made products to those customers. So complying with the new rules says that the impact of $30 to $40 million of annual revenue loss which is about one point of growth. And as I mentioned earlier, again, our outperformance target of four to five points is inclusive of the impact of the China restrictions.
Harris Fein: Got it. That's helpful. And then regarding the ramp of the Taiwan facility and you know, the early impacts of Colorado. In the past, you've quantified, you know, what sort of gross margin drag you expect just from underutilization as the asset ramps? Maybe how long do you think it'll take to get to what you would consider a normal operating rate in Taiwan? And any early thoughts about the impact on Colorado for 2025 gross margin would be helpful.
Linda LaGorga: Yeah. Thanks for the question. Again, I would think about gross margin for 2025 in the context of our overall guidance and the target model. As I mentioned earlier, that we put some takes, but we did include any inefficiencies relative to ramping Colorado and KSP in our guidance. Even with these headwinds, we do expect that gross margin in 2025 to expand a bit, 20 to 50 basis points. But as we look forward with KSP in Colorado and the ramp inefficiencies, we do expect this to be mostly behind us by the second half of 2026. But again, circle back to the target model and think of the inefficiencies as encompassed in that target model in our guidance.
Operator: Thank you. We'll take our next question from Atif Malik with Citi.
Atif Malik: Thank you for taking my questions, and Bill, you will definitely be missed. Bertrand, in the last earnings call, you guys talked about some supply constraints that impacted your September and December quarter. Are those supply constraints completely behind you or is there some lingering effect on the March quarter?
Linda LaGorga: Thanks for following up on that. Much appreciated. So good news, the supplier issues we discussed last quarter are essentially behind us. So on the contaminated batch of HCL impacting the liquid filtration products, this was resolved in Q4 as we expected. And then on the valve constraints impacting the gas purification platform, this is improving and expected to be resolved in Q1 as planned. Most importantly, we continually look to reduce our supply chain risk and minimize single-source suppliers and also work very hard to have our suppliers close to our manufacturing facilities where possible. And the team has made great progress on this over the last two years, and we'll continue to work to optimize our supply chain.
Atif Malik: Thanks, Linda. And then a follow-up for you on tariffs. I know you guys are mostly US manufacturing, but should there be any impact from the tariff situation, particularly in China from any of your supply chain sources?
Linda LaGorga: So we're closely monitoring any impact on tariffs from the America First trade policy directives across Canada, Mexico, China. We've completed our assessment on the newly announced tariffs and there'll be immaterial impact to our raw material costs. Over the last several years, as I just mentioned, we've been bolstering that resiliency at this supply chain and establishing local supply chains to better serve our regional customers. And, you know, which this strategy is helping us mitigate some of the impact of the tariffs, but we'll continue to evaluate the impact as new information comes out. And evaluate that impact on our business.
Atif Malik: Thank you.
Operator: Thank you. We'll take our next question from Charles Shi with Needham. Your line is open.
Charles Shi: Hi. Good morning. I have a question. What's the higher level on the wafer starts. Right. So 2024 looks like the MSI that something reported by the third parties are going to be a down year, but you just did expect the MSI starts to be up for you. But this year, the third party seems to be forecasting pretty much close to 10% MSI growth, but the Bertrand, you're seeing a little bit lower wafer start growth. Mind if you walk us through where the disconnect between what you see and what the third party reports comes from and I suppose really think about 2026 and beyond when I mean, the first thing people gonna look at is the third party forecast for MSI going forward.
Bertrand Loy: Sure. I think we had the beginning of that discussion in a previous call, but what third-party reports track are really the shipments of bare wafers from the wafer growers to the fabs. And that's what that MSI index tracks. And, typically, there is a really good correlation between wafer starts and MSI, except when you have very high levels of wafer inventories sitting in the fab. That was the case in 2024, and that's why MSI was essentially reported as being down. There was and you can track that with or you can correlate that with the reports from the wafer growers. But the flip side of that is that you're gonna we expect to see the reverse of that, play out in 2025 as those inventories have been consumed and your safety stocks get rebuilt, we expect shipments of bare wafers to exceed the actual wafer start activity in the fabs. So to put that in context, as I said, I think our wafer start number for 2024 is low single digit, 1% to 2% essentially for 2024. Compared to an MSI number that is, you know, negative, mid to high single digits, and we expect to see the flip side of that in 2025 with MSI number to your point probably in the high single digit, maybe even in the low teens. The actual wafer start is expected to be a little bit less than that.
Charles Shi: Thanks, Bertrand. The other question, right, about the annual guidance you provided plus the Q1 guidance. It seems to imply 2025 gonna be another second half weighted year. For you and because last year was second half weighted. I would say probably 48% to 52% split between first half and second half in 2024. Based on the current visibility, do you expect something similar in that range or less second half weighted or more second half weighted, then what will be the reason?
Bertrand Loy: Yeah. It's a good question. I think we expect certainly steady quarterly sequential growth through the year, and we expect the level of outperformance to increase in the second half of the year as we benefit from some of the node transitions I was mentioning in advanced logic and 3D NAND. So second half, certainly, would be stronger than the first half.
Charles Shi: Thank you.
Operator: Thank you. We'll take our next question from Aleksey Yefremov with KeyBanc. Your line is open.
Aleksey Yefremov: Bertrand, I'll maybe ask you a little bit more of a question. Any views on the level of file performance in 2026? Do you think you'll stay at about this level, a little higher or lower versus you see in 2025?
Bertrand Loy: Aleksey, I think let's go through 2025 first. And then I will comment on 2026. But, you know, as a backdrop, I would say that I'm very, very pleased with the progress that we've been making developing the suite of solutions I was mentioning in 3D NAND in particular. And as those device architectures become more challenging, I would expect, the magnitude of the Moly deposition opportunity, the Moly Edge opportunity to continue to grow. So but let's first see a few of the large memory makers transition away from Tungsten into Moly for the word line. And then let's see how the industry is also starting to adopt Moly Edge as a wet chemistry and moving away from the dry etch process that they are currently using. I think we'll have a lot more data points later in 2025, and I think I would be in a much better position to answer your question.
Aleksey Yefremov: Thanks, Bertrand. I also wanted to wish best of luck to Bill and thank him for all the help. And for my second question, I want to ask you about China. I think now about 20% of sales and I believe in the past, you were talking about China being 20% to 25%. So perhaps you were looking at some growth in China with these latest restrictions, how do you think this evolving? Do you think China's still a growth market, or you'll be around the 20% mark?
Bertrand Loy: Yeah. So the way we think about it is that, first of all, you're right. I mean, today in 2024, China represents about 21% of our revenue. It's up from 16% in 2023. So we've seen the growth we were expecting to see in China. Clearly, we are facing some new headwinds from those regulations, so we'd expect that to be a deterrent to additional growth in 2025. But I would expect China to continue to be a growth area for us. We have a large number of mainstream fabs that are starting operation, and I would expect them to continue to process more and more wafers over time. And we have done it actually a really good job at staying competitive in China. We continue to create significant value for customers in helping them improve their device performance, helping them improve their yields, I expect China to continue to be a growth market for us as more mainstream fabs increase their productions domestically.
Aleksey Yefremov: Thanks a lot.
Operator: Thank you. We'll take our next question from John Roberts with Mizuho. Your line is open.
John Roberts: Thank you, and best wishes as well, Bill. If you split your business for China into advanced logic and AI versus mainstream, how would you characterize mainstream? Is it stable? Is it declining still? Declining single digit, double digit?
Bertrand Loy: Yeah. I mean, this is clearly advanced logic for us has been an area of significant growth last year and mainstream was an area of weakness. I think you can see you will see when we file out our 10-K evidence of that as we report our revenue with our largest customer. So and I expect that to continue in 2025. We expect advanced logic to remain very strong, driven by AI application, and I expect at least the beginning of the year to be relatively muted for mainstream logic. So that ratio will continue to tilt toward advanced logic, which is positive for us because we have actually a much larger content per wafer opportunity in advanced logic as compared to mainstream logic.
John Roberts: Thank you.
Operator: Thank you. We'll take our next question from Mike Harrison with Seaport Research Partners. Your line is open.
Mike Harrison: Hi. Good morning. Best wishes to Bill. Wanted to see if we could discuss the margin cadence for the year. The EBITDA margin for Q1, there it looks like maybe a little bit of a seasonal dip. And I believe that typically you guys have some incentive comp payouts or equity payouts during Q2. That would lead Q2 EBITDA margin to be relatively weaker as well. But maybe just kind of discuss what our expectations should be in terms of the cadence and some of the key margin drivers for the second half of the year?
Linda LaGorga: Mike, thank you for that question and, you know, very good memory back to last year. So you are right. That the timing of our equity awards are in the second quarter. So the way I'd recommend thinking about it is look at that cadence in 2024 of how margins played out. And expect a very similar pattern in 2025.
Mike Harrison: Alright. Thank you. And then, was hoping, we talked a little bit about the CMC consumables and it's great to hear that you're seeing good momentum there. I was hoping we could talk about silicon carbide. I think last year, you had expected a really nice pickup in silicon carbide. Maybe it wasn't as good as you anticipated, but still a growth year in that part of the business. Where did we end the year in terms of revenue or I guess, relative to your expectations? And what should we be thinking for growth in silicon carbide CMP consumables for 2025?
Bertrand Loy: Mhmm. Yeah. So you're right. I mean, silicon carbide was a very significant growth vector in 2023 compared to 2022. We were hoping to see significant incremental growth in 2024. It just didn't happen. And I think you've followed this industry closely, and you understand that most players in the industry didn't really grow very much in 2024, and that did impact our opportunity there. So, essentially, our revenue for silicon carbide applications were flat year on year. I think said that, that remains a very promising area because we are enjoying a very significant share for slurries and pads and cleans. And this is another example of where this solution selling approach has been working really well. I mean, as you know, our customers are really trying to move from six-inch to eight-inch silicon carbide substrates. Key to that transition would be to have the right total cost of ownership, and our solutions are uniquely enabling that. I mean, we have slurries offering much better removal rates, think about, you know, something 40% to 50% better than competitors. We have CMP pads that have superior lifetime, essentially lasting about 30% longer than the alternatives, and all of that translates into a significant improvement in cost of ownership. In a range of up to 50% to 60%. So I think we are very well positioned. We just hope that this industry actually recovers quickly. And if and when it does, you're gonna start hearing us talk more about those SiC opportunities because we are very well positioned there.
Mike Harrison: Alright. Thanks very much.
Operator: Thank you. The question and answer session has concluded. I will now turn the program back over to Bill Seymour for closing remarks.
Bill Seymour: Thank you for joining our call today. Please reach out to me directly if you have any follow-ups. Have a good day, and you can now disconnect.
Operator: Thank you. This concludes today's Entegris fourth quarter and full year 2024 earnings conference call. Please disconnect your line at this time, and have a wonderful day.